Operator: Welcome to News Corp's Fourth Quarter and Full Year Fiscal 2024 Earnings Conference Call. Today's conference is being recorded. Media will be allowed on a listen-only basis. At this time, I would like to turn the conference over to Michael Florin, Senior Vice President and Head of Investor Relations. Please go ahead.
Michael Florin: Thank you very much, operator. Hello, everyone, and welcome to News Corp's fiscal fourth quarter 2024 earnings call. We issued our earnings press release about 30 minutes ago, and it's now posted on our website at newscorp.com. . On the call today are Robert Thomson, Chief Executive; and Susan Panuccio, Chief Financial Officer. We will open with some prepared remarks, and then we'll be happy to take questions from the investment community. This call may include certain forward-looking information with respect to News Corp's business and strategy. Actual results could differ materially from what is said. News Corp's Form 10-K and Form 10-Q filings identify risks and uncertainties that could cause actual results to differ and contain cautious statements regarding forward-looking information. Additionally, this call will include certain non-GAAP financial measurements such as total segment EBITDA, adjusted segment EBITDA and adjusted EPS. The definitions and GAAP to non-GAAP reconciliations of such measures can be found in the earnings release for the applicable periods posted on our website. With that, I will pass it over to Robert Thomson for some opening comments.
Robert Thomson : Thank you, Mike. Before we begin the examination of our excellent fourth quarter results, I would like to express our sincere gratitude to all who contributed to the emancipation of Evan Gershkovich. His freedom was made possible by the concerted efforts of concerned, principled people who recognized that his incarceration was unjust and immoral. And so many thanks are due to our leaders at Dow Jones, Emma Tucker and Almar Latour and to all at News Corp who campaigned vigorously for Evan's release. We also acknowledge the sterling work of the U.S. government, which I oversaw the handover and the role of several other enlightened governments whose divine interventions were crucial. As for the fourth quarter, revenues grew 6% from the prior year to almost $2.6 billion, while profitability improved by a healthy 11% to $380 million, a fourth quarter record for News Corp. Reported EPS and net income were also markedly higher. Moreover, despite the negative impact of high interest rates in some of our businesses, fiscal 2024 was the second best year on record with profitability rising 8% to $1.54 billion. Our core pillars of growth book publishing, Digital Real Estate Services and Dow Jones inspired that increasing profitability and revenue growth, and we believe their strength augurs well for fiscal '25. Prior to delving into the details, I would like to highlight several consequential matters for our company. We took a significant step to prepare for an e-book, which we believe will be defined by the confluence of artificial intelligence and emotional intelligence. Our landmark agreement with OpenAI is not only expected to be lucrative but will enable us to work closely with a trusted preeminent partner to fashion a future for professional journalism and for provenance. That partnership is already fructifying. We have also begun to take legal steps against the Gen AI aggressive, the egregious aggregators who are less principled and more predatory in their confiscation of our content. So-called Open source can never be a justification for open slather. We are also considering our legal options in confronting the blatant political bias of advertising industry bodies who have done serious damage and denied many advertisers access to a significant audience. We applaud the work of the U.S. House Judiciary Committee in pursuing the misnomer that is the Global Alliance for Responsible Media or GAM, and its coordinated boycott of media platforms perceived to be unfashionable by iliberal liberals. GAM harm has been real, and there need to be commercial consequences. We believe the company's prospects are patently propitious, and we are also continuing to review our portfolio with a view to maximizing returns for shareholders. That review has coincided recently with third-party interest in a potential transaction involving the Foxtel Group, which has been positively transformed in recent years with record numbers of streaming subscribers, low broadcast churn and rising and broadcast and streaming ARPU. We had no imminent intent to sell Foxtel but are reviewing potential strategic and financial options for the business with our advisers and engaging with third parties in light of that external interest. That process should not be interpreted as a sign that we are not reviewing the status of other segments. As I mentioned, we were not actively looking for purchases and we believe strongly in the potential of Foxtel, given its world-class technology and unique aggregation of sports and entertainment content. With that context, let us analyze the laudable performance in the fourth quarter. Digital Real Estate had a particularly strong quarter as revenues rose 21% and segment EBITDA surged 25%. That resounding performance was mainly driven by REA, where listings flourished and Financial Services returned to growth, while revenues expanded substantially at REA India. Listings growth continued into July as REA broadened its suite of successful premium products to improve results for clients and lift yields. In the United States, we enhanced both the technology and the offerings to sell and buy-side agents at realtor.com, as we prepare for an upturn in our property market that has been pummeled by high mortgage rates, limited inventory, lofty prices and historically low home sales. While prognostication is not our profession, we are hopeful that interest rate cuts by the Federal Reserve are imminent and will have a positive impact on affordability and liquidity in this stagnant market. Certainly, the lesson of the Australian market is that when suppressed demand is emancipated, activity in the housing sector accelerates rapidly and listings prosper. We have already seen sequential improvement in revenue at realtor.com as the company has taken astute advantage of the complementarity of our media platforms to drive traffic and improve the content experience. There was particular improvement on the sell side, which has become a priority for realtor.com and which is the core source of revenue for our thriving Australian business. The progress at Dow Jones continues to pace with revenue growth in the quarter of 4% despite a mixed advertising market. At the heart of that growth is the continued strength of B2B, where revenues climbed 14% of Dow Jones Energy and 12% at Risk & Compliance. In fact, fiscal '24 was a pivotal moment in the history of the company. As it was the first year in which more than 50% of Dow Jones profitability was driven by the surging B2B segment. Indeed, it is difficult to overstate the impact of B2B growth on Dow Jones and News Corp over the past four years as B2B revenue has expanded at a compound annual rate of 17% and the margin at Dow Jones has broadened from 15% to 24% while segment EBITDA has more than doubled. Crucially, Digital accounted for 80% of fiscal 2024 segment revenue, up from 67% in 2020. And the core B2B products have renewal rates north of 90%. In that same four-year span, total subscriptions in the consumer business have burgeoned early 55% with digital subs almost doubling. For the fourth quarter, Dow Jones gained 158,000 digital subscribers sequentially and digital advertising expanded 14% year-over-year, more than offsetting the expected declines in print advertising. The quality of Wall Street Journal content continues to be a differentiator as our company signed a valuable multiyear content licensing agreement with the London Stock Exchange Group to provide WSJ news and analysis to its corporate clients, thus building our brand in the European marketplace. HarperCollins reported a notably strong quarter with a more than 250% increase in segment EBITDA to $57 million. As revenue rose 15% to $512 million, reflecting strength in Bible sales, in Amazon demand and in audiobooks, thanks in part to our successful partnership with Spotify. The HarperCollins back catalog continued to perform vibrantly with The Bridgerton collection benefiting from the latest streaming series, while new works like Lucy Foley, The Midnight Feast and Sarah A Parkers, When the Moon Hatched reached fresh audiences. Overall, digital sales grew 12%. And for the first time, audiobooks were a largest share of that segment than e-books, soaring by 28% in the quarter. That's right, 28%. There is much to cherish this quarter, including the latest works from best-selling authors, Daniel Silva, Tessa Bailey, Lisa Turkish and Jeffrey Archer among others. One interesting sales phenomenon is the resurgence of interest in J.D. Vance's Hillbilly Elegy, which sold 150,000 copies in various formats within 24 hours after his selection as Donald Trump's running mate was announced. In July alone, Hillbilly Elegy sold 877,000 units which will have a positive impact on our Q1 results for fiscal 2025. At Subscription Video Services revenue in the quarter grew on both a reported and constant currency basis and streaming strength more than offset broadcast declines. Audiences are continuing to transition from traditional broadcast to over-the-top consumption. We believe Foxtel is particularly well positioned for both subscriber and advertising growth. As Kayo and BINGE have gained traction given their unique strengths in sports and entertainment programming. Those two services added almost 200,000 paying subscribers in the quarter and digital advertising now represents more than 40% of Foxtel's total advertising, with Kayo growing 42% compared to the prior year and the recently rolled out ad offering at BINGE growing fourfold. We will keep you updated on the advertising renaissance as the quarters unfold. Our launch of the Hubbl service is still in its early days, but encouragingly, more than 30% of Hubbl customers are new to Foxtel, which is significant given our existing presence and profile in the Australian marketplace. About 75% of customers of the Hubbl aggregation service purchased an additional Foxtel product along with their device and subscription. On the broadcast side, ARPU grew 6% and churn was a pleasingly low 11.7% for the quarter. Foxtel continued to generate strong cash flow as we were able to monetize our long-term sports rights across multiple platforms. In News Media, our profile and impact have only grown over the past year when many news organizations lost the plot editorially and commercially. The collapse of old and new media titles is in stark contrast to our mastheads and our journalists. The quality of our journalism was a prime motivator for Sam Altman and his talented team at OpenAI with whom we are genuinely proud to partner. Leaders from both companies have already begun working together to improve the flow of trustworthy information and develop contemporary distribution channels. Those learnings will be deployed in newsrooms around the world to strengthen our journalists understanding of how the digital reading experience is evolving and how we need to adapt to that changed content consciousness. Meanwhile, we are far from complacent and continuing to develop and reform our News Media operations. We are in the midst of a restructuring in Australia designed to enhance our digital progress. While the New York Post was once again profitable this year after decades of chronic losses, and we will look to expand its audience and influence and profitability in the coming year. It is worth highlighting that the post reached a monthly digital audience of 117 million unique visitors in June and that News Corp owns two of the top three best-selling print mastheads in the U.S. with the Wall Street Journal and the New York Post. News UK under Rebekah Brooks leadership saw an improved profit contribution for the quarter and the full year. As we benefited from lower newsprint costs, increased digital subscriptions, cover price rises and lower television expenses. Our strong results for the year and record returns for the quarter would not have been possible without the leadership of Lachlan and Rupert Murdoch, the support of our Board and the admirable efforts of our employees around the world. The company's enduring success is built on an honorable tradition of creativity and curiosity and integrity. Our success would also be impossible without the support of our shareholders and we are acutely conscious of our responsibility to generate value and provide robust returns to those who have invested both money and faith in News Corporation. And we are certainly not beholden to pass structures as we confront the future. I now hand you to our CFO, the Sage, Susan Panuccio.
Susan Panuccio : Thank you, Robert, and good afternoon to everyone. As Robert highlighted, our transformation of News Corp continues a pace. We have materially grown recurring and digital revenues, added incremental high-margin licensing revenues, and focused our reinvestment plans primarily around the core pillars of Book Publishing, Digital Real Estate Services and Dow Jones, where we expect the highest rate of returns and shareholder value creation. We continue to deliver cost efficiencies to mitigate inflationary pressures, but more importantly, to allow for investment in growth initiatives across our businesses. This disciplined approach has allowed us to deliver our second best year on record and our strongest ever fiscal fourth quarter profitability. For today's discussion, I will focus on the fourth quarter performance. Fourth quarter total revenues were almost $2.6 billion, up 6% year-over-year, and total segment EBITDA was $380 million, up 11% year-over-year. Margins improved by 70 basis points to 14.7% our core pillars accounted for 87% of News Corp's profits and grew at a robust 28%. Fourth quarter adjusted revenues rose 6% compared to the prior year, while adjusted total segment EBITDA rose 13% versus the prior year. For the quarter, we reported earnings per share of $0.09 compared to a $0.01 loss in the prior year. Adjusted earnings per share was $0.17 in the quarter compared to $0.14 in the prior year. Moving on to the results for the individual segments, starting with Digital Real Estate Services. Segment revenues were $448 million, up 21% versus the prior year on both a reported and adjusted basis. Segment EBITDA was $135 million, up 25% as higher profit contribution from the REA Group was partly offset by approximately $11 million of higher costs at Move, a similar increase to the third quarter. Adjusted segment EBITDA grew 28%. REA had another outstanding quarter with revenues rising 37% year-on-year. Growth was driven by a combination of residential yield increases and improved growth in national listings favorable geographic mix and customer contract upgrades. New buy listings rose approximately 16% with Sydney up 26% and Melbourne, up 32%. In addition, REA saw strong growth at Financial Services, which benefited from the absence of a negative valuation adjustment in the prior year and some improvement in settlements, together with higher revenue at REA India. Please refer to REA's earnings release and their conference call for more details. Move's revenues for the quarter of $143 million were down just 2% compared to the prior year as declines continued to moderate from last year. For the quarter, real estate revenues fell 2%, driven by lower referral and lead generation revenues, reflective of the broader macro trends and lower transaction volumes. Lead volume was flat, still constrained by higher mortgage rates, while average monthly unique users for the quarter were also flat versus the prior year at $74 million, but up sequentially 3%. And -- it is worth noting that we have been able to maintain market share according to the MACOM score data. Encouragingly, we are continuing to have notable success diversifying our revenue base with accelerating performance from our sell-side offerings, rentals, which includes our newly formed partnership with Zillow and new homes. Collectively, those businesses accounted for 19% of revenues in the quarter and grew substantially versus the prior year. As we communicated last quarter, we are focused on best positioning realtor.com for a housing recovery. Our key strategic focus areas remain the same as we head into the new financial year and include modernizing our technology stack, investing in content for our product offerings, which most recently included the release of a new dynamic mapping feature and leveraging News Corp's network to drive audience share. Turning to the Subscription Video Services segment. Revenues for the quarter were $506 million, up 1% compared to the prior year. On an adjusted basis, revenues rose 2% versus the prior year. Streaming revenues accounted for 32% of circulation and subscription revenues versus 29% in the prior year. Total closing paid subscribers across the Foxtel Group were nearly $4.7 million at quarter end, up 1% from the prior year. Total paid streaming subscribers reached a record $3.2 million, increasing 5% versus the prior year and accounting for nearly 70% of the total paying subscriber base. With Kayo adding 108,000 subscribers and BINGE adding 76,000 compared to the prior quarter. This speaks to the success of our winter sports codes and strong entertainment content. Foxtel ended the quarter with over 1.2 million residential broadcast subscribers, down 10% year-over-year. Broadcast churn was 11.7% versus 11.1% in the prior year, but down from over 13% last quarter, while broadcast ARPU rose 6% to AUD90, benefiting from new pricing and packaging plans implemented in March. As a result, broadcast revenues declined at the lowest rate in constant currency in over five years. Segment EBITDA in the quarter of $74 million was down only $4 million or 5% versus the prior year, despite including approximately $28 million of costs related to Hubbl for devices and marketing. Excluding the Hubbl investment, Foxtel's profitability would have been higher for the quarter. For the quarter, adjusted segment EBITDA fell 4%. Moving on to Dow Jones. Fourth quarter results were again strong at Dow Jones with revenues of $566 million, up 4% year-over-year with digital revenue accounting for 81% of total revenues this quarter, up 2 percentage points from last year. Circulation and subscription-based revenues represented 79% of total revenues, again reinforcing the stability and recurring nature of the revenue base. We continue to see strong growth at PIB with revenues rising 8% year-over-year, including 12% growth at Risk & Compliance to $76 million and 14% growth at Dow Jones Energy to $65 million. At Risk & Compliance, demand remains strong from new and existing customers with notable success in new products, including advanced media screening and financial instruments. From a customer mix perspective, corporate customers remain the fastest growth segment, growing over 20% and accounting for 45% of our customer base. At Dow Jones Energy, revenue in the quarter continued to benefit from the pricing review together with the launch of a number of new products and benchmarks. Overall, retention remains strong at approximately 90%. Within the Dow Jones consumer business, Circulation revenues rose 1% versus the prior year, with digital-only subscriptions improving by 16% year-over-year and higher by 158,000 sequentially. Bundling accounted for approximately 40% of the sequential digital-only volume growth in Q4. ARPU was stable sequentially as the introductory pricing is starting to rise and the subscribers acquired over the past year have started to migrate to higher pricing. Advertising revenues increased 2% to $102 million, marking the first quarter of year-over-year growth since the first quarter of fiscal 2023. Digital advertising improved 12%, and that marked the strongest growth since the fourth quarter of fiscal 2022, principally due to a rebound in the technology category. Print remained challenged down 13% and broadly consistent with recent quarters. Digital represented 66% of advertising revenues, up from 60% last year. Dow Jones segment EBITDA for the quarter grew 3% to $137 million and was again the largest segment EBITDA contributor across the company. As expected, expenses were higher this quarter, reflective of the phasing of marketing and higher employee costs, which includes a retro payment related to the ratification of a new union agreement. The Dow Jones segment finished as the highest contributor to full year company revenue in financial year '24 for the first time and the highest contributor to total segment EBITDA for the second consecutive year. At Book Publishing, the fourth quarter delivered very strong results and kept a robust turnaround for the full year at HarperCollins, which benefited from normalization of customer demand, strong Amazon sales, moderating inflationary pressure and upswing in digital revenues and much lower return rates. Revenues were $512 million, up 15%, while segment EBITDA improved over 250% to $57 million driven by strong top line growth, coupled with easy comparisons in the prior year. That said, HarperCollins nearly matched its highest fourth quarter revenue on record and achieved its highest fourth quarter profitability since 2018 underscoring that the performance clearly wasn't just a function of easy comparisons. The backlist contributed 62% of consumer revenues, up from 59% last year, while digital sales rose 12%, reaching 24% of consumer sales. Audiobooks rose 28% in part helped by the recent Spotify partnership at increased promotions from Audible, which led to audiobooks exceeding e-books for the first time this quarter. Turning to News Media, Performance was mixed with News UK posting an improved performance for the quarter, which was more than offset by challenging conditions at News Corp Australia. Revenues for the quarter were $545 million, down 5% versus the prior year, while adjusted revenues fell 4%. Circulation and subscription revenue fell 3% on a reported and constant currency basis due to lower print volumes in the absence of measure revenues in Australia, which more than offset cover price increases and digital subscriber growth. Advertising was down 5% on a reported basis and 4% in constant currency, with UK digital advertising more challenged due to the continued impact from platform algorithm changes. As our News Media businesses face ongoing print challenges, they continue to focus on their transition to digital revenues and ongoing cost efficiencies. Segment EBITDA of $28 million declined $17 million or 38%, which was attributed to challenges at News Australia, including higher newsprint prices. Adjusted segment EBITDA declined 38%. Turning to the outlook. Market trends remain mixed geographically. However, we exited the fiscal fourth quarter with total segment EBITDA growth, and we hope to see improvements going in fiscal 2025. Some themes across each of our segments. At Digital Real Estate, Australian residential new buy listings for July are up 12%, although the listing volume increase benefited from two additional working days. REA should benefit from an average 10% price increase in Premier Plus that has been successfully implemented. Year-over-year growth rates for fiscal 2025 will reflect strong prior period listing volumes, particularly for Melbourne and Sydney. Move plans to continue with their investment strategy focused on technology improvements and enhanced content and product offerings. We hope to see some revenue improvements given expected interest rate cuts and continued growth from adjacencies. We will be closely monitoring the impact from the implementation of the new buyer agent rules, but we believe we are well placed to benefit from the expected market recovery given the scale of our audience, the quality of our leads and expansion of our adjacencies. At Subscription Video Services, we plan to continue to scale streaming products while retaining high-value broadcast customers through improved ARPU and churn measures. While we anticipate the rate of investment at Hubbl to be lower in fiscal 2025, we do expect modestly higher programming costs related to sports rights escalators. At Dow Jones, we will remain focused on B2B growth, including upselling and new products across Risk & Compliance and Dow Jones Energy. We expect to see improved circulation revenue growth through digital subscription step-up pricing, and we'll be monitoring those trends very closely. While we expect the rate of expenses to be moderately higher year-over-year due to investment, notably in B2B, we will continue to focus on cost efficiencies to drive growth. At Book Publishing, we have seen strong momentum from the backlist in July, including a resurgence from J.D. Vance's Hillbilly Elegy, and are very pleased with the partnership with Spotify, which is driving increased competition in audiobooks. We hope to see further profit improvements in 2025, albeit likely at a much more modest rate given more normalized prior year comparisons. At News Media, the advertising market remains challenging, and the businesses will continue to focus on enhancing first-party data offerings with an emphasis on video to drive higher-quality advertising. We expect the segment to benefit from lower talkTV costs together with savings associated with the new commercial printing joint venture in the UK and ongoing operational efficiencies will remain a focus. We will see new revenue from our OpenAI partnerships in fiscal 2025 reflected in the Dow Jones and News Media segments. We expect CapEx in fiscal 2025 to be moderately higher than in fiscal 2024, primarily due to digital reinvestment in our growth pillars. With that, let me hand it over to the operator for Q&A.
Operator: Thank you. We’ll now start the Q&A session. [Operator Instructions] Our first question comes from David Karnovsky from JPMorgan. Please unmute your line and ask your question.
David Karnovsky : Hi, thank you. Robert, on the Foxtel third-party interest, can you say anything about the nature of the transaction that's being contemplated? And are you engaged with 1 or multiple parties? It was a little unclear for your remarks. And then how does the potential interest here complicate the thinking or maybe even the time line behind kind of the broader process of the strategic review?
Robert Thomson : Well, David, you can see from my earlier statement that there are various processes in motion. We have had an overture a significant overdue, which we're naturally assessing -- but let me make absolutely clear that we have full faith in the potential of Foxtel and our talented team at Foxtel who've fashioned a world-class viewing experience and Credit Kayo, which really is the best sports streaming platform globally, hence the interest in emulating its success in the U.S. But on behalf of shareholders, we obviously have to evaluate any interest knowing that we are ourselves further Foxtel fans. I mean the streaming business is surging and broadcast ARPU in the most recent quarter was 6% higher than a year earlier. But secondly, strategically, we have been undertaking a broad review of our portfolio and its potential in the quest to increase shareholder value. Now that review continues a pace. But on that particular matter, you'll have to stay tuned, but not indefinitely, not perpetually not at infinitum.
Michael Florin: Thank you, David. Laila, we’ll take our next question, please
Operator: Our next question comes from Kane Hannan from Goldman Sachs. Please unmute your line and ask your question.
Kane Hannan : Yeah, thanks. Just to deal with OpenAI. I mean your patents were talking about U.S. 250 over five years. Is there any more color or things you can talk about around that deal that would help us? I mean particularly, so how much of that value in the deal was around the back catalog, which may not need to be renewed in 5 years' time versus for the ongoing content production? Thank you.
Robert Thomson : Okay. And we really can't go into the precise details, but you will be able to see the impact in our news businesses. It's tangible, it's meaningful. The way to regard the OpenAI agreement is that there will be a guaranteed amount and the two companies will be working to create products that generate even more value for both companies. The OpenAI team under Sam Altman has a sophisticated sense of how to productize profitably and with principal. And neither of those qualities are given with all Gen AI players, some of whom are merely content carpet baggers.
Michael Florin: Thank you, Kane. Laila, we’ll take our next question please.
Operator: Our next question comes from Entcho Raykovski from Evans & Partners. Please go ahead.
Entcho Raykovski : Hi, I've got a Foxtel transaction question as well. I mean assuming some sort of Foxtel transaction goes ahead, do you still expect to be able to recoup all of the Foxtel shareholder loans? And if you can remind us how much is still outstanding. I think that would be quite helpful in relation to those loans. And I mean, I appreciate there's only so much you can say, but is that a trade or financial buyer that's most interested? What do you -- I mean, what do you think is the most likely identity of the buyer that ends up coming through?
Robert Thomson : Well, look, no, as for Foxtel, we just want to be sure that the process is full and fair and to reassure our cherished colleagues that the external interest should be seen as a clear vote of confidence in what they have achieved and how they have positively transformed the company. I mean you recall the skepticism about Foxtel's fate five or four years ago. That skepticism has become optimism and the company's performance has obviously caught the eye at the discerning IRSA of others, who not only see a great company, but in these turbulent troubled times, an expanding market like Australia, which offers regulatory certainty and ongoing economic opportunity.
Susan Panuccio: And Entcho, just in relation to the shareholder loans, they're just shy of $600 million outstanding at the moment. And clearly, any transaction would contemplate what we do with those loans.
Michael Florin: Thank you, Entcho. Laila, we’ll take our next question please.
Operator: Our next question comes from Brian Han from Morningstar.
Brian Han : Good morning. You guys have been investing in Move for some time now, yet the traffic numbers for realtor.com continued to be pretty stagnant. So will there be any changes in the kind of investments you'll be making in Move?
Robert Thomson : Brian, our unique users in Q4 were 3% higher sequentially at $74 million, even though the market itself is sluggish and the competition is more intense. But the most important thing to bear in mind with realtors that Damian and the team have been doing a vast amount of work in improving the tech, the experience. And so they're poised with poised, I say, given that the market does seem on the cusp of a revival. And as mentioned earlier, we've seen from our Australian experience that an extended period of suppressed demand can lead to almost an explosion in activity as families can finally afford to make the moves that they've been delaying. And once those movements start, there will be more liquidity, which of itself stimulates further demand. Have to say that Damian has done an excellent job in taking full advantage of our media platforms to raise the profile of REALTOR and drive traffic. And there's much anticipation, excitement at REALTOR. And in particular, because the revenue of the newer product lines, seller, for example, is markedly higher than a year ago. The U.S. has traditionally been a bio-led market, but the Australian market where we've had stunning success with REA is a seller market. So we're pleased to see that growth trend here. And we're also pleased to see today that 30-year mortgage rates dropped to a 15-month low to 6.47%. Now it's fair to presume that rate will continue to fall over time. And historically, there's been a corresponding increase in housing activity.
Susan Panuccio: And Brian, to that end, and to what Robert was saying, we will keep investing in the business because we believe in the business. We expect the cost increases to be modest for the full year, with the increases more weighted to the second half. But you can expect that the dollar value of those increments are going to be less than the dollar value of the increments that you saw in Q3 and Q4 of this year.
Michael Florin: Thank you, Brian. Laila, we’ll take our next question please.
Operator: Our next question comes from Darren Leung from Macquarie. Please go ahead.
Darren Leung : Good morning, guys. Congrats on the good results. My question was just in relation to Foxtel maybe just on the operational side. Robert, you made some comments about the improvement in Foxtel thus far. I guess when I think about the Investor Day in 2021, there were sort of three major aspirational targets, subscribers, revenue, sort of CapEx targets, things like -- sort of hit 2024, and we're just a little bit short of those targets. I guess I'm clear to hear if there's any update in terms of how you're thinking about those new targets either from a commentative perspective or from a timeline perspective, particularly in light of the strategic review? Thanks.
Robert Thomson : Darren, we can't really revealing more figures than we already have today. But our ambitions for Foxtel are undaunted. And I think what is particularly striking is that you're seeing growth in the streaming business. While combined with about 6% increase in ARPU in the Broadcast segment. So you're not seeing the fundamentally fatal contradictions that you are at some broadcasting companies in other parts of the world, which is why no doubt, the success of Kayo, the success of BINGE, the emerging success of Hubbl have attracted a certain amount of attention.
Susan Panuccio: And Darren, since we had that Investor Day, I mean, it's fair to say that the landscape has changed materially over the last couple of years. But we're really proud of the fact that the streaming subscribers are an all-time high. We have been taking price across our broadcast and our streaming products in order to focus on that revenue growth. And our CapEx, notwithstanding the investment in Hubbl in the current year, it has been coming down. So I think we feel pretty good about those targets that we put out there.
Michael Florin: Thank you, Darren. Laila, we’ll take our next question please.
Operator: Our next question comes from Lucy Huang from UBS. Please go ahead.
Lucy Huang : Hi, Robert and hi, Susan. So my question is on cost as well coming into FY '25. I mean I think this year, we've seen pretty strong cost control across the business. Just wondering how we should be thinking about the cost momentum into '25? I note that recently, you made some changes in the Australian business as well to take some cost out. So just wondering if we can go through some puts and takes. Thanks.
Susan Panuccio: Look, we talk about this each quarter. I think we feel pretty good about our cost cadence. Clearly, it's going to be different depending on the segments that we operate in. We're just talking about REALTOR expecting that whilst they will still focus on cost efficiencies there's likely to be reinvestment in that segment. Within News Media, we have sort of got a little bit ahead of the game in that the UK has done their transition from linear of talkTV and the commercial joint venture printing venture that we've mentioned. So that will give them some good cost savings coming into '25. And as you mentioned, News Corp Australia has restructured down there. So that will also give some added momentum going into the new year. We expect across Dow Jones that costs would increase probably mid-single digits. That's pretty consistent with what we saw this year, and that supports the fact that, that business is growing, particularly on the B2B side of the business. And HarperCollins really their costs have started to stabilize off the back of a pretty choppy couple of years. And so we expect that the margins of that business will be broadly consistent as we go into 2025.
Michael Florin: Thank you, Lucy. Laila, we’ll take our next question please.
Operator: Our next question comes from Alan Gould from Loop Capital. Please go ahead.
Alan Gould : Thank you. I've got two questions, please. First, Robert, how is signing the OpenAI deal impact your negotiations with other Gen AI companies? And my second question is, both you and Susan in the press release discussed the divisions -- the three divisions that are the pillars of growth, it makes one thing when we have the other two divisions. Now Foxtel may take care of itself. And I don't know if Rupert and Lachlan are on the call, but I know that News Media is sort of the genesis of the company. But you see the -- it'd be simpler and the company will be growing quicker without those two divisions? So just your thoughts on those two questions. Thank you.
Robert Thomson : Well, I'll take the second question first. We're constantly reviewing our structure. We're very proud of all the divisions and the growth that we're seeing across the majority of them over the past quarter and the past year, you can see from yourself from new accounts. As for OpenAI, we have made clear in the past that we would prefer to woo rather than to sue to negotiate rather than to litigate. But for some, the process of suing has started. Now sometimes the threat of suing can be a precursor to wooing, but we will surely see the upcoming coming months.
Susan Panuccio: And Alan, just to add just on News Media, we have been really focusing on that segment in order to keep that segment stable and transition to digital. They've faced enormous headwinds since we separated. And the businesses have actually done an enormous job in light of the huge print declines that we've seen across those businesses. And those businesses also provide a valuable audience that we use across the rest of the portfolio. They've really helped REA with advertising from a marketing perspective, they help audience growth across move. They've helped support Foxtel with some of the marketing efforts down in Australia. And so -- we do utilize those segments in a broader way across the portfolio.
Robert Thomson : And just to reinforce that point, for example, at the New York Post, we have 117 million monthly uniques. There's content complementarity with REALTOR. That's true for many of our media properties around the world, the combination between our News Media properties in Australia and REA and Foxtel. So these companies together far more than the sum of the parts.
Susan Panuccio: And the content is hugely valuable when we think about these content deals that we're doing across the business. They have valuable archives that go back hundreds of years that are hugely important to us.
Michael Florin: Thank you, Alan. Laila, we’ll take our next question please.
Operator: Our next question comes from Craig Huber from Huber Research. Please go ahead.
Craig Huber : Yes, hi. Thank you. Robert, I just wanted to ask you if I asking you in prior calls about the simplifying the company, obviously, almost nine months to the day, you made the formal public announcement of looking at the process of simplifying the company we're here nine months later. When I asked you three months ago, you sort of hinted that part of the holdup here with on the regulatory side of things and stuff. I guess my question, honestly, is why was that not anticipated? And also, why would -- did you guys go public with your thoughts that you want to simplify the company nine months? I suppose to just wait longer here and do more homework in the background. Because you talked about before, you have -- you did a lot of work on this before you made the public announcement, and we're still sitting on nine months later. I know a lot of investors are quite eager to see a simplification of the company here, and so we're sitting here nine months into it. It doesn't sound like it's around the quarter. I don't know that for sure, but I guess my question is how much longer is this going to -- the process is going to take? I know it's a complicated company , but is it just simple just the regulatory side of things is what slowing this whole thing down? Thank you.
Robert Thomson : Greg, we're constantly institutionally in perspective, we've obviously been engaged in the process. And as I indicated earlier, that process will not continue indefinitely nor perpetually. But we have actually already completed a significant amount of regulatory work to make possible that kind of introspection. But we can't give you a specific date. We can assure you that there's much effort going on. And obviously, that effort now coincides with interest in Foxtel that process has to play out in a full and fair manner for all concerned. But clearly, there will be a certain amount of tension on that in coming weeks and coming days.
Michael Florin: Thank you, Craig. Laila, we’ll take our next question please.
Operator: At this time, we have no further questions. I'll now hand over to Michael Florin for closing remarks.
Michael Florin: Thank you, Laila, and thank you all for participating. Have a wonderful day, and we will talk to you soon. Take care.